Operator: Good morning, ladies and gentlemen. Thank you for joining the JAKKS Pacific First Quarter 2014 Earnings Call with management. Today, JAKKS will review the results for the first quarter ended March 31, 2014, which the company released earlier today. On the call today are Stephen Berman, President and Chief Executive Officer; and Joel Bennett, Executive Vice President and Chief Financial Officer. Mr. Berman will first provide an overview of the quarter; then Mr. Bennett will provide detailed comments regarding JAKKS Pacific's financial and operational results. Mr. Berman will then conclude the prepared portion of the call with highlights of the product lines and current business trends prior to opening up the questions. Your line will be placed on mute for the first portion of the call. (Operator Instructions). Before we begin, the company would like to point out that any comments made about JAKKS Pacific's future performance, events or circumstances, including the estimates of sales and earnings per share of 2014, as well as any forward-looking statements concerning 2014 and beyond are subject to Safe Harbor protection under federal security laws. These statements reflect the company's best judgments based on current market trends and conditions today and are subject to certain risks and uncertainties, which could cause actual results to differ materially from those projected. Risks and uncertainties, you should consult JAKKS' most recent 10-K and 10-Q filings with the SEC, as well as the company's other reports filed with the SEC from time to time. With that, I would like to turn the call over to Mr. Berman.
Stephen G. Berman: Good morning, everyone, and thank you for joining us today. We are pleased with our sales and earnings results for the first quarter of 2014. We've exceeded our sales forecast for the quarter and believe strongly we are on track to achieving our previously announced sales and earnings forecast for the full year. Highlights of our first quarter sales include Disney Princess, Toddler and Baby Dolls and Dress-Up, including from the hit theatrical release, Frozen, also Sofia the First Dress-Up and Role Play toys, Disney fairies fashion dolls and dress-up and pre-school toys such as our Fisher-Price foot-to-floor ride-ons, licensed activity tables and our Maui sky bouncers were some of the strong sellers for the first quarter of the year. Later this year, we are looking forward to growing our My World line of miniature playsets and our large-scale action figure line with new licenses and expanded retailer distribution. We are launching our new Hero Portal TV Game system and Max Tow Truck line. Exciting new Disney Princess products including many, many new additions to the Frozen franchise and Sofia the First will also hit shelves later this fall. New DreamPlay and technology apps and toys as well as updates to our current apps are also slated for release later this year. These are just a few of the branding categories in our portfolio this year which is comprised of brand-new initiatives and innovation and the hottest licensed property along with our evergreen categories and play patterns. I will give a further update of our business this year and beyond, but now I'd like to turn the call over to Mr. Joel Bennett to review our financial results for the first quarter of 2014. Joel?
Joel M. Bennett: Thank you, Stephen, and good morning, everyone. Net sales for the first quarter of 2014 increased to $82.5 million, up 5.7% from $78.1 million reported in 2013. The reported net loss for the first quarter was $16.2 million or $0.76 per diluted share. This compares to a net loss of $27.6 million or $1.26 per diluted share reported in the comparable period in 2013. Worldwide sales of products in our traditional toys and electronics segment which includes dolls, action figures, vehicle, electronics, plush and pet products were $35.7 million for the first quarter of 2014 compared to $38.4 million for the first quarter in 2013. Sales this quarter in this segment were led by our Disney Princess dolls, Disney fairies dolls, Cabbage Patch Kids and foot-to-floor ride-ons; those sales overall was down this quarter due to declines in our Monsuno, Flywheels, Pokémon and Spy Net product line. Worldwide sales from our Role Play, Novelty and Seasonal Toy segment which includes role play products, novelty toys, Halloween costumes, indoor and outdoor kids furniture and outdoor activity and pool toys were $46.8 million in the first quarter of 2014 compared to $39.6 million in 2013. Disney Princess, Sofia the First and Frozen dress-up and role play products along with Maui toys outdoor seasonal products dominated sales in the category this quarter driving the category to an overall increase this quarter and offsetting declines in Black & Decker and Winx role play and activity tables and kids furniture. Included in the category numbers are international sales of approximately $18.2 million for the first quarter of 2014 compared to $16.7 million in 2013. Disney Princess dolls and role play, Disney fairies dolls, Rio 2 and Slugterra drove first quarter sales in the international markets more than offsetting the decline in the Monsuno product line. Gross margin for the first quarter in 2014 and 2013 was 28.5% and 29.9% of net sales, respectively. The decrease in the percentage of net sales in 2014 is primarily due to product mix and higher royalty expense. SG&A expenses in the first quarter of 2014 was $38.4 million or 46.5% of net sales as compared to $47.2 million or 60.5% of net sales in 2013. The decrease in SG&A in dollars and as a percentage of net sales is the result of the benefits achieved as part of the restructuring and cost savings initiatives commenced in the second half of 2013, as well as a shift in media buys due to Easter falling later in the year. Consistent with the seasonality of our business, operations used cash of $10.7 million for the first quarter of 2014 compared to using cash of $5.7 million in 2013. As of March 31, 2014, the company's working capital was $120.4 million including cash and equivalents and marketable securities of approximately $113.6 million. Capital expenditures were $1.2 million for the first quarter of 2014 compared to $2 million for the first quarter of 2013. For the full year, we expect capital expenditures to be approximately $12 million. Depreciation and amortization was approximately $3 million in the first quarter of 2014 compared to $2.6 million in 2013. As for our tax rate, our effective tax rate for 2014 is expected to be approximately 19% before any FIN 48 or other adjustments. This may change if there is a shift in sales and therefore taxable income between the U.S. and Hong Kong territories. Accounts receivable as of March 31, 2014 were $65.4 million compared to the $65 million at the end of the first quarter of 2013 resulting in DSOs in 2014 of 71 days, a decrease of four days from the 75 days in 2013. Inventory as of March 31, 2014 was $42.2 million, down from the March 31, 2013 level of $52.1 million as we continue to manage inventory levels. This resulted in lower DSIs of 77 days in 2014 down from 101 days in 2013. Turning to our 2014 guidance. We continue to anticipate net sales for the full year in the range of $633 million to $640 million with earnings in the range of $0.30 to $0.40 per diluted share and EBITDA in the range of $41 million to $43 million. Lastly, we recently closed on the three-year senior secured credit facility with GE Capital to provide up to $75 million subject to availability and certain financial covenants which coupled with our cash position and expected cash flow will give the company financial flexibility to execute on our strategy. With that, I will return the call back to Stephen Berman.
Stephen G. Berman: We are extremely pleased with our performance in the first quarter of 2014, despite the challenging retail environment and colder than usual weather. Highlights in our girls division this quarter include our Disney Princess products which are once again stellar performers in our portfolio. The breakaway hit Frozen has caused a buying frenzy with consumers and retail for our toddler and baby dolls and dress-up and role play products. We have been working closely with our factories to increase capacities in addition to working closely with our retail partners around the globe to get more products in the stores immediately. We have an exciting suite of year-round offerings for Frozen including activity tables, soft play environment, Halloween costumes and a brand-new line of exciting interactive products for fall including new categories that we have added to our license. Our Sofia the First dress-up and role-play line continues to perform extremely well at retail. The shows' ratings continue to be strong as the number one rated cable TV show among girls ages 2 to 5 and rated number two with kids ages 2 to 5, which has positively impacted the sell-through of our products at retail. With Disney Fairies, Pirate Fairy's DVD hit on April 1 and combined with promotional activity from Disney, our products are performing extremely well at retail including the 9-inch deluxe and classic dolls. We expect to see an upward trend on this business. Our DreamPlay, My World line of mini play environments based on top girl brands did extremely well at Toys "R" Us and Walmart. We are expanding our retail distribution in the fall into our other retailers as well as adding new licenses including Skechers, Justice and [Mrs. Fields] (ph) just to name a few. We are updating our DreamPlay, My World mall app to include the new licenses for fall as well as adding a new game play and integrate an in-app purchase. All of My World product packaging will have callouts to download the DreamPlay app and we recently aired a My World TV spot that highlights the app resulting in more than doubling of its downloads that week. Now for highlights in our boys business in the first quarter, our Nintendo Plush figures and playsets and battery-operated ride-ons did extremely well at Toys "R" Us in the first quarter, and we are expanding to other major retailers in secondary accounts for fall. Our spring launch was focused around Nintendo's number one character Mario and our fall launch will include products based upon Legend of Zelda, Donkey Kong, Mario Kart 8, and others. Our large-scale figures line is setting the stage for a great business in 2014. We launched Godzilla in the first quarter with Star Wars Rebels, DC Universe and Nintendo's Super Mario Brothers following in the fall. We are also introducing new scales with 18-inch to 21-inch Star Wars Rebels figures and others as well as a whopping 48.5-inch Teenage Mutant Ninja Turtle Michelangelo and Leonardo figures this fall. Also, for fall, we are looking forward to launching our new line of Hero Portal plug-and-play game consoles which capitalizes on the popular play pattern of collectible figures that interact within one videogame console. We have exclusive rights to key boy properties like Teenage Mutant Ninja Turtles, DC Universe and Power Rangers Super Megaforce. Max Tow Truck is a JAKKS owned brand launching this fall with wide placement at all of our major retailers, a powerful motorized character-driven toy truck Max Tow can pull and push over 150 pounds and will feature compatibility with the Max toy DreamPlay app, which allow kids to take their Max Tow Truck on the go. The free app will include games and environment as well as in-app purchases. The augmented reality experience will allow kids to create an obstacle course for their real Max Tow Truck right in their own room. Our Black & Decker line of boys role-play is also looking strong for fall with an expanded line encompassing more project-oriented sets along with seasoned themed items. Retailer response has been very positive for this line. In preschool, our Moose Mountain division, a leader in great evergreen preschool products such as foot-to-floor ride-ons, inflatable ball pits, tents and wagons, had another successful quarter with year-over-year growth including a marketed increase in international sales. Our Fisher-Price foot-to-floor ride-ons started the season very strong and sales of our new convertible ride-ons have boosted sales and provided diversification with assortment at retail. Our licensed activity tables continue to be steady and strong and in evergreen business at all of our major retailers along with our kids indoor and outdoor furniture and license Big Wheels. We have completed the consolidation of our kids-only business into our Moose Mountain division resulting in more efficiencies and savings in our preschool and seasonal offerings. In seasonal, despite challenging weather, our Maui toys wave hoops and sky balls continue to be strong and our new sky bouncers is doing very well at retail. The quarter started out slowly as retailers push-backed their set dates, however, at the end of the quarter, saw an increase in shipments as stores were setting and gearing up for the spring and summer. Our Funnoodle business started to ship broadly at the end of first quarter. First quarter is traditionally a quiet quarter for our Disguise Halloween costume division, however, Disguise posted great selling numbers for Q1 of this year. The sequel Capitan America, The Winter Soldier remains the domestic box office champ in its third weekend according to studio estimates released on Sunday. We are looking forward to launching our line of Captain America costumes this Halloween season for toddlers to adults. Additional top licenses include Marvel's Spiderman based on the movie, Iron Man, Hulk and our superhero squad line for preschoolers as well as Transformers. For girls, we expect our Disney's Frozen line to be one of the most popular Halloween licenses with the beloved characters such as Elsa, Anna and of course Olaf. Also, we are excited as well for the Halloween costumes based on Disney's movie Maleficent. Now I'd like to turn to our international business. International this quarter showed strong sales of Disney Princess, Toddler dolls and Role Play, Disney Fairy, Rio 2, Slugterra and our Moose Mountain preschool products just to name a few. We have launched Frozen toys with immediate success and will continue expanding distribution into the second quarter. Our continued long-term focus is to build our business in emerging markets. We're proud that our UK office continues to beat year-on-year sales by a quarter. Lastly, our DreamPlay offerings are continuing on plan, updates to our My World mall app will continue to be included and integrated in all new licenses for fall plus new game play and in-app purchases; updates to our Ariel DreamPlay app will include a spotlight on the interactive dance experience and will integrate our Ariel shoes and tiaras into the experience in addition to the dress. As mentioned earlier, our Max Tow Truck will also be launching this fall in conjunction with a DreamPlay app experience. All of our DreamPlay app enhanced toys will feature a call to action on the packaging to download the app. TV commercials for My World and Max Tow will air this fall and also include a DreamPlay tag. Additional new DreamPlay apps and toy products in the works for later this year are expected to increase our offerings and presence in a digital play space, as we work to build our strategy to monetize our offerings. With that, we will wrap up the prepared portion of the call and open it to Q&A. We are optimistic about our year with our traditional toy business and with our DreamPlay offerings and new licenses. The year is shaping up positively for the company and we are looking forward to a profitable and successful JAKKS Pacific for our stockholders and employees. Thank you for your time.
Operator: Thank you. We will now begin the question-and-answer session. (Operator Instructions). Our first question comes from Linda Bolton from B. Riley. Linda, please go ahead.
Linda Bolton-Weiser - B. Riley Caris: Hi.
Stephen G. Berman: Hi, Linda.
Linda Bolton-Weiser - B. Riley Caris: Hi. So congratulations on sales growth in the quarter, but do you think that the Easter shift actually caused any shift of sales from the first quarter to the second quarter?
Stephen G. Berman: No. The Easter shift as it was three weeks later, I believe in 2014 to 2013 normally would have had the shift, but we actually had throughout the majority of our categories increased sales, some of the areas in our seasonal business had a lower sales but other areas of our business increased, so we are fortunate the majority of our divisions had better than expected sell-in and sell-throughs, so it actually just added to the first quarter.
Linda Bolton-Weiser - B. Riley Caris: Okay. And then I know you had said at the end of the calendar year that you were in pretty good shape at retail in terms of inventory levels, so other than those areas that are really hot like the Frozen toys, is the rest of everything kind of at pretty good levels? Are you feeling pretty good about where the inventory is at retail?
Stephen G. Berman: Yes. Both inventory at our distribution center and at retailer at extremely low year-over-year, so I think we can be more well positioned this year with inventory at retail and the majority of all of our segments of businesses, so the rework and restructure that we did last year we are really focused on inventory management both at retail and in our domestic warehouse and the sell-throughs very surprisingly throughout the U.S. and internationally have been well beyond our expectation. So we are scrambling not just with our Frozen products but many other areas to get product on shelf. But we're still going to keep a tight rein on inventories as we've had problems in the past.
Linda Bolton-Weiser - B. Riley Caris: Okay, great. And then actually I didn't catch or maybe you didn't give it, but can you give an operating cash flow number for the quarter? And also do you have a D&A, depreciation and amortization estimate for the full year?
Joel M. Bennett: The cash flow from operations used cash of 10.8 million and D&A for the year if you'll bear with me – actually I'll come back to that later in the call.
Linda Bolton-Weiser - B. Riley Caris: Okay. And just can I just follow-up a little on the gross margin, I guess that was on the area of the earnings report that was just a tiny, tiny bit less than what we had thought and you said it was due to mix and royalties, I think. Are those things that are going to play into the remaining quarters of the year too? It's something we should keep in mind or is that in fact are going to change a little bit as we go forward?
Joel M. Bennett: No, because Q1 is the lowest volume sales quarter, everything has that much bigger of an impact. And 190 basis points decline from our guidance was the result of closeouts. So, the guidance originally contemplate – even through closeouts are a normal event, as the timing of those is what affected us this quarter and we would have been 190 basis points higher if you strip out the closeouts. So we are very much closer to expectations without that.
Linda Bolton-Weiser - B. Riley Caris: Okay. Thanks very much.
Stephen G. Berman: Thank you, Linda.
Operator: Our next question comes from Gerrick Johnson from BMO Capital Markets. Gerrick, please go ahead.
Gerrick Johnson - BMO Capital Markets: Hi. Good morning.
Stephen G. Berman: Good morning, Gerrick.
Gerrick Johnson - BMO Capital Markets: Good morning. I was wondering if you could just touch on what you just said what the closeouts were that impacted you that much in the quarter? And then Joel, if you can just go through the covenants on the credit agreement particularly the minimum levels of EBITDA you need to maintain, what they were for this quarter and going forward? And lastly, just one question on product. Whatever happened to spy net? I just don't see that out at retail anymore. Is that done or is that still lingering somewhere? Thanks.
Stephen G. Berman: While Joel pulls up that information, spy net we actually because there are other competitors coming after that area with spy gear and so on, we created a whole new line called covert ops and that's what you'll see at retail this year; so stayed ahead of the game, staying into a military theme. We redirected the line, re-shifted the play patterns and changed it into covert ops. We're right now having spring 2015 Toy Fair as we speak today. That's what we'll be seeing fall this year and then going into next year. So we're staying kind of ahead of the curve because it got saturated as a company using the word spy on product, so it was saturated and price points became low due to other companies closeouts. So, we re-shifted or redirected the whole line and it looks wonderful, and it's been well accepted across the board both U.S. and abroad.
Joel M. Bennett: On the covenants on the line for Q1, we needed EBITDA of not more than negative 12.5 million and then for the six months through Q2 it's I think 10.5 million. After that Q3 and Q4 it's based off a fixed charge coverage ratio of 1.2.
Gerrick Johnson - BMO Capital Markets: Okay. So I guess that's still some nice improvement in 2Q to hit that six-month number. I'm sorry, I think I missed – did you talk about the impact of the closeouts, what that was that hit gross margin by 190 basis points.
Joel M. Bennett: Yes. We saw 3.3 million – on a year-over-year basis, it was somewhat consistent but it was more relative to our plan that the timing affected us more so in Q1.
Gerrick Johnson - BMO Capital Markets: All right. Thank you.
Stephen G. Berman: Thank you, Gerrick.
Operator: Our next question comes from Ed Woo from Ascendiant Capital. Ed, please go ahead.
Edward Woo - Ascendiant Capital Markets: Thank you. I had a question. You said that because of the Easter shift, you did some marketing costs shifting into or out of Q1. How much of that is going to be recovered in Q2?
Stephen G. Berman: Ed, in marketing spend?
Edward Woo - Ascendiant Capital Markets: Yes. You guys did a very good job of having lower SG&A this quarter, at least a part of it was due to a shift in marketing costs. I'm just wondering how much of that is going to be reflected in second quarter?
Stephen G. Berman: A larger percentage but the quarter is much – it's a much more prominent quarter, so it really will blend in normal to what we sold in and based off of the specific items, Ed, I don't have the exact dollars in front of us but the marketing spend will be like half and half from Q1 to Q2. So it's really a split between both.
Edward Woo - Ascendiant Capital Markets: Great. And the other question I have is congratulations on the success you guys have with Frozen. There is a lot of press recently about just how strong that franchise, the movie is, continue even through the holidays. How much do you think you left off the table just because of production issues? And also I want to know that for the Frozen license, what do you guys have and what's your geography for those licenses?
Stephen G. Berman: Frozen obviously took a, I'd say, not just U.S. wide but almost worldwide everyone by surprise by how powerful the movie became and I think that even from the Disney point that it's hard to create a princess per year or within a period of time and they really created a princess for our new generation which is Elsa and Anna, and the products themselves go really across the board from – and everyone's here to [bunch] (ph) about the dresses themselves for the toddler dolls, the role-play, the tiaras from our activities to flashlights. We've gone really broad, so what happened was we sold it strongly in December and we picked up at the end of March because we had to deal with capacity issues after Chinese New Year. So we were in Hong Kong to deal with Chinese manufacturers and we've I'd say almost quadrupled on many of the items and now we're just getting the inventory in. And as soon as we bring in the inventory, it really sells out within weeks and we've extended our license to really some pretty little items. So if you remember Mr. Potato Head that we grew up with, we came up with an item called it's a switch him up Olaf which is we call it for our era the next generation of a Mr. Potato Head conceptually doing it differently but – as Olaf really relates itself to that type of play pattern. We have come up with a whole new line of Olaf's Sno Cone maker which if everyone remembers this there was a Snoopy Sno Cone maker and we really are playing based off of the characters and play patterns. So we're not going outside the play patterns and we're using factories, Halloween factory to catch up on the dress up for role-play throughout the spring, but Halloween we've kicked into a couple of other factories to pick up because we believe it's going to be one of the top – if not the top girls Halloween costume for fall and Olaf will be one of the fun costumes for fall. So we don't believe it's just a one-year exciting license the way Disney is nurturing it and the way that we have been handling it. We have a broad array of categories. This is a very long-term project. We're actually doing power programs with Disney, so when you go to stores you'll see toys in certain parts of our power program and you'll see books on another side. So we're really going into different distribution channels and growing the presence of girls and it's really just touching the tip of Frozen right now due to the sell-throughs were so quick when it happened.
Edward Woo - Ascendiant Capital Markets: Great. And your license for Frozen, the role-play and the toddler dolls, is that international as well as the U.S.?
Stephen G. Berman: Yes, we have many parts internationally and are expanding the rights internationally as we speak, but we have quite a few broad parts of international territories.
Edward Woo - Ascendiant Capital Markets: Great. Well, I don't think I'd look good in Anna or Elsa dress but I think I can go as an Olaf for the role play, so…
Stephen G. Berman: We'll keep one, Ed, per your height, so we'll save one for you.
Edward Woo - Ascendiant Capital Markets: Thank you and good luck.
Stephen G. Berman: Thank you, Ed.
Operator: Our next question comes from Drew Crum from Stifel. Drew, please go ahead.
Andrew Crum - Stifel, Nicolaus & Company: Okay, thanks. Good morning, everyone. So, Stephen, in your prepared remarks you made reference to increased distribution on a couple of occasions. I wonder if you could provide a little more detail there, maybe break it down between domestic and international and any quantification in terms of increased distribution will be great.
Stephen G. Berman: Okay, there is two parts of increased distribution but I'll talk about first domestically. We are expanding our distribution more with online retailers but the online retailers are same as the brick and mortar, so we're talking the Walmart.com, Target.com, Amazon of course, Toys "R" Us.com, so expanding distribution there dramatically. We are also getting into different ancillary distribution channels like Skechers, I think Journey's, more direct trade so we're expanding to our U.S. distribution in that type of fashion. Internationally, we're expanding to the Eastern European territories. We've already been there, so we're expanding further with different partnerships. Latin America where we've been expanding very quickly inclusive of Mexico is a big expansion. And China, we have made different relationships structuring partnerships to distribute. We have a large broad license with Disney for China. We are both going with an online initiative with one of the largest online companies for China as well as selling direct to retail in China. So it's an ongoing long-term process that we're doing overseas. Our UK office is having year-on-year, quarter-over-quarter growth. So some areas are slow, specific areas I'll use like Germany but we're picking up dramatically in other areas.
Andrew Crum - Stifel, Nicolaus & Company: Okay, good, very helpful, Stephen. And can you talk about Disney Princess as a percentage of the business and based on your comment, it sounds like you're expecting growth from Frozen and Disney Princess in 2014. Just want to get an understanding as to what your expectations are as part of the revenue guidance you've provided?
Stephen G. Berman: We don't breakout by license; one is our license agreements, two is for competitive reasons, but the growth that we're seeing – we definitely will be seeing based off of the retail meetings that we've had, we will have, I would say, unexpected growth further than our expectations on Frozen but we also are seeing expanded growth in many areas of our business. The Disney franchise is so broad, so a good example is we have Maleficent which is a movie coming out in May that's part of the Disney license, it is a princess in its sense but it's based off a movie. There is the fairy movie DVD which was launched in April 1, so we're getting real strong momentum in a lot of these areas. We expected some of it, some of it we plan for the year and because our inventory levels were very low, it's helped us in a sense of maintaining the right amount of flow of each of the different princesses, so we're not backed up on one versus the other. So Disney in itself is reacting extremely well, there are properties across the board. Another example is Godzilla which is the movie coming out that it performed better than expected. Our Nintendo category of products is doing exceptionally well and now is being expanded worldwide and they've never granted a license for all their characters to one company and we're the first time I believe – I maybe be off a little bit that we are able to have not just Mario but all their characters and the sell-throughs are better than expected. So, it's across the board of great evergreen sales and Disney definitely has been an exceptional part of the growth part of the business.
Andrew Crum - Stifel, Nicolaus & Company: Okay. And then one last housekeeping question, Joel, the short-term debt increased by $10 million sequentially from $38 million to $48 million. What was the additional $10 million?
Joel M. Bennett: We drew 10 million on the close of the GE line.
Andrew Crum - Stifel, Nicolaus & Company: Okay, got it. Okay. Thanks, guys.
Stephen G. Berman: Thank you.
Operator: Our next question comes from Steph Wissink from Piper Jaffray. Steph, please go ahead.
Stephen G. Berman: Good morning, Steph.
Stephanie Wissink - Piper Jaffray: Thank you. Good morning. I'll add our congratulations around the Frozen success as well.
Stephen G. Berman: Thank you.
Stephanie Wissink - Piper Jaffray: Just staying with the licensing first and Joel, if you could just give us some sense of how to model that royalty expense as a percentage of sales based on the timing of some of the products sold for the balance of the year; that would be helpful? And Stephen, just remind us how long those key licenses last once you come to the end date or renegotiation point? And then if I could just throw in one question on the cost realignment, it seems like it was – you're certainly focused on the back half of '13 but a little bit of benefit here in the early part of '14. Can you just give us an update on what's left to be recognized from a formal cost cutting standpoint and then what we should assume as we kind of move forward in terms of leverage? Thank you.
Stephen G. Berman: I'll go into the license component. We don't break out the rights of licenses just because of confidentialities with our licensors, but they range from two years to three years to four years is the primary range and where constantly there is so many licenses within just categories that we're constantly renegotiating licenses month by month. That's been our normal practice since conception.
Stephanie Wissink - Piper Jaffray: Okay…
Stephen G. Berman: Steph, did I answer the question that you needed as best I could?
Stephanie Wissink - Piper Jaffray: I think so, yes. Maybe we can come back to it offline and maybe Joel, if you could just give us a sense on the expense, how should we think about that from a quarter-to-quarter? I'm not sure if there are big help points in terms of inventory injection into retail.
Joel M. Bennett: Not really. The impact on Q1 on anything is amplified because it's a low volume quarter. In general our expectation is to have margin expansion in 2014. So it's not that royalty expense – although it does flow differently, there are also cost factors that also come into play. We look at it on a blended basis even though we developed the forecast on an individual item basis, but to give you guidance it would be – I think it would be easier to work with an overall blended number. I hope that makes sense to you.
Stephanie Wissink - Piper Jaffray: Yes, would that be something that you would provide for us just to help us think about…
Joel M. Bennett: No, I mean it's built into the overall guidance. So from that perspective unless we gave you sales by line by quarter, you wouldn't be able to build up to that number. So I guess it's more working back from the overall guidance.
Stephanie Wissink - Piper Jaffray: Okay, I think we can get there. That's helpful. And then if I could, just a last question guys on the cost takeout. Was there anything more from a formal cost reduction plan standpoint that we should be thinking about as you (indiscernible) the balance of this year?
Joel M. Bennett: We anniversary the major cuts in the third and fourth quarters. We did have a few expenses that carry into 2014, especially as it related to new transition of kids-only. But we continue to pull the levers. I think that between continuing to manage headcount and to a lesser degree as we sublet some of the excess space that we've taken the abandonment charges on, but we're well on track and most of the big levers have already been pulled and we'll just see the benefit play out over the course of the year which again has been built into the guidance.
Stephanie Wissink - Piper Jaffray: Okay. Thank you. Best of luck, guys.
Stephen G. Berman: Thank you very much.
Operator: Our last question comes from Sean McGowan from Needham & Company. Sean, please go ahead.
Sean McGowan - Needham & Company: Hi, guys. Good morning.
Stephen G. Berman: Good morning, Sean.
Sean McGowan - Needham & Company: I have a couple of questions too. One is, it's not surprising that everybody would get caught short a plan on Frozen stuff, but a lot of the stuff you sell is soft goods and I would have thought that that would have a much faster turnaround in terms of how quickly you could expand that capacity. Can you talk a little bit about that? So what is it taking so long?
Stephen G. Berman: Because it's not just – soft goods aren't just dealt with by labor of cut and sew, you also have to have the correct material, the correct components. Those all have to ordered in advance, so the dresses have sparkles, have the diamonds are all little components. The material itself has to be approved. It goes through a long process. So once we got through Chinese New Year and the labor force started coming back, we also had to get a dramatic amount of the material that was needed that too time. So that was primarily – injection molding (indiscernible) we are able to catch up a little bit quicker because you deal with resins and we had enough of the hair product and so on. So at the end of March is when we really got everything kicked in. We got more factories onboard. Also, when we get other factories onboard they have to be approved not only by ourselves, by Disney but also the retailers. So because of the stringent testing requirements, it just took a longer process to get all the different materials. We're very cautious on where we get them from. They have to preapproved. So we moved from one of our largest Halloween manufacturers to shift it to, to get our role-play. At the same time we increased factories for Halloween, so it just was a catch. Once it ends, it takes two to three weeks to get the labor forces back and really the part of the dresses are just labor.
Sean McGowan - Needham & Company: All right, okay.
Stephen G. Berman: And you know the business quite well, so I'm sure you understand it.
Sean McGowan - Needham & Company: I'm just frustrated because there is so much demand and hopefully that's self esteem.
Stephen G. Berman: If you think it's frustrating for you, I know the positive part of it is the demand is well beyond there and it's a good thing – it's not a great thing to happen to not being able to get to the consumers who really want it but we've now have a supply chain that we can actually help throughout the U.S. and internationally we're doing power programs with Disney to get into different distribution channels. So, we're really ramped up dramatically into key areas where we need to be ramped up.
Sean McGowan - Needham & Company: Well, the next time a reporter says that this is all a conspiracy to create demand and not be able to fill it, I'll just cut and paste the transcript and email that post comment.
Stephen G. Berman: Yes, actually we would like to let you know it's not a conspiracy. We would actually have liked to been able to shift more of that. The good thing is we had a solid quarter without having a huge Frozen benefit, but Frozen will be a dramatic, I would say, growth part for us this year and next year and hopefully for years to come.
Sean McGowan - Needham & Company: Okay, I'll get back to that in a second. I did want to ask a question to Joel on your tax guidance. It's been a puzzle as to how the taxes will be treated on a quarter-to-quarter basis. Do you not show any real impact until you have a profitable quarter and you're expecting to for the years, so all of the tax impact will be shown – for the whole year will be shown only in those profitable quarters?
Joel M. Bennett: Well, basically in the U.S. that is correct. In Hong Kong where we expect to be and have been a tax payer, we will recognize the benefit as we did in Q1. A few years back, we fully valued our or put a full value allowance on our deferred tax assets in the U.S. So basically from a practical standpoint, we don't take any benefits in interim quarters. So, basically, based off the guidance, most of the profit will be in Hong Kong which is in the guidance of about 19% effective tax rate. So we have a number of different taxable activities that go on. We charge a management fee to Hong Kong which creates taxable income in the U.S. We buy inventory plus Hong Kong sells the majority of the sales where they generate their profits. But in the first quarter we recognized the tax benefit because the Hong Kong company had a taxable loss. So each quarter it's based off of the relative taxable income. Primarily in the U.S. and Hong Kong we do have some local sales in Canada and the UK, but it's to a much lesser degree. Most of those sales are done on an FOB basis.
Sean McGowan - Needham & Company: But I assume you are expecting the U.S. to be profitable for the year, so we'll really only see the impact of…
Joel M. Bennett: Yes, just in the last quarters, we won't recognize the benefit because of the prior valuation allowance on the dealing.
Sean McGowan - Needham & Company: So we'll have some weird rates.
Joel M. Bennett: Correct.
Sean McGowan - Needham & Company: Okay. Then last question and it circles back to not just to Frozen but quite a number of things, Stephen, that you said were better than expected. Just trying to reconcile that fact that you're sitting on one of the top properties right now in the industry, you said you didn't get much benefit in the first quarter but you expect more later in the year. Why not take the guidance up, especially when I look at the recently disclosed employment bogies that you need to, to get paid kind of any bonds, it's a lot higher than the guidance. So, can you talk about why the guidance isn't going up…?
Stephen G. Berman: One is, I wouldn't base my bonus on this for our company to raise guidance or not, it's what we think is prudent. What we're doing now is looking at the production levels, the flow of the actual product, any impact at other areas of business because Frozen being so hot, it's taken away from other grow areas not, I would say, just in ours but across the board. So, it's so early on in the year and first quarter to make any appropriate changes positive or negative. We are looking – things look extremely well. I think we are extremely cautious and optimistic at the same time and then we'll feel better once we get through the second quarter and we see exactly how the retail flows, the production flows across the board not just Frozen but Frozen is a big part of it of the excitement, but not just that. We have a lot of things that are exciting and I think we just need to get through the period of time of second quarter to see how retailers are because retailers – we just don't get affected by our own products doing well; if other companies are not doing well, retailers are open to buy, change and so on. So we believe it's prudent not to make any changes now and then we'll review it during second quarter. And where we feel appropriate I think it will be a time for us to reevaluate both in revenue and in earnings.
Sean McGowan - Needham & Company: Okay, fair enough. Thank you.
Stephen G. Berman: Thank you, Sean. If there's no further questions, so we appreciate everybody on the call. We look forward to our next earnings call. We will be out actually speaking with investors and analysts throughout the next quarter and feel free to give a call to the office and speak with myself and Joel for any further follow-up questions. Thank you very much.